Operator: Good afternoon. My name is Cheryl and I will be your conference operator today. At this time I would like to welcome everyone to the Pinterest First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Jane Penner, Head of Investor Relations. You may begin your conference.
Jane Penner: Thank you, Cheryl. Good afternoon everyone and welcome to Pinterest’s first quarter 2019 earnings conference call. With us today are Ben Silverman and Todd Morgenfeld. Now I will quickly cover the Safe Harbor. Some of the statements that we might make today regarding our business performance and operations may be considered forward-looking, and such statements involve a number a risks and uncertainties that could cause actual results to differ materially. For more information, please refer to the risk factors discussed in our most recent Form 10-Q filed with the SEC. During this call we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which is distributed and available to the public through our Investor Relations website located at investor. pinterestinc.com. And now I'll turn the call over to Ben.
Ben Silverman: Thanks Jane, and hi everyone. Thanks for joining our very first earnings call. We want us to be the start of an open helpful dialogue, so we really appreciate your time and interest. And so this is our first call, we try to be helpful to just give some quick background on Pinterest and our journey here, then we will briefly talk about some highlights from the quarter and Todd will open it up for questions. So we launched Pinterest in 2010 with a simple idea to tell people collect all those things they left across the Internet. We always thought the collection just say a lot about who you are, your interest and your aspirations for the future, and we wanted to help people find, save and organize all the things that interested them online. People have been collecting everything from mid-century furniture they wanted to buy to rest piece they wanted to cook to vintage motorcycles they dream about owning and pretty early on we also began noticing something more, the people weren't just using Pinterest to treat collections they also loved browsing and getting new ideas on our platform. So over the last nine years we've expanded our mission into something more ambitious to tell people all over the world get inspiration to plan their lives and to help them make those plans a reality offline. We've come a pretty long way since 2010 as you can see in the shareholder letter we released today there are now 290 million people using Pinterest every month all over the world. They've created more than 4 billion named collections that we call pinboards and more than 200 billion ideas you can save to this pinboards which pinners are brining to life every day. And what's interesting isn’t just how many people are coming to Pinterest and what they are doing it’s also why. People come to Pinterest to focus on themselves their interest and their lives not to keep up with other people or to socialize. They come to plan their futures, not live with their past and they come to be productive in their real realize, not strictly for online entertainment. What's great is that unlike many platforms where advertisements are attached on the user experience we think ads on Pinterest can add to the experience. Commercial content helps our users to be productive, plan their futures and bring their plans to life. In fact relevant ads are often the springboard to take someone from feeling inspired to actually making a plan to reality. We believe that fundamental alignment between users and businesses is that advertisement of Pinterest is special, and that's why we’re excited about the business we’re building. So are how we doing that? We're off to a solid, as you’ve seen in the shareholder letter we've seen healthy revenue growth of 54% to $202 million and healthy user growth of 22% to 291 monthly active users. And when it comes to helping people find inspiration for their lives we're making progress on a number of strategic priorities. We've improved the experience for our users by making Pinterest more relevant with breakthrough and machine learning. We've made Pinterest more inclusive to innovative new products. We've made Pinterest more shoppable so people can take action on ideas they see. We've also made progress on improving our products for businesses and advertisers and diversifying our advertiser base. We've doubled the international markets where we serve ads, we’ve streamlined retailers’ ability to upload their catalogs to Pinterest, and we made video available for all advertising objectives. We're really excited about the momentum we have across the board and we also know that it is a lot of work ahead but we believe that our mission to bring everyone inspiration to take action to realize is what's needed and important. We think we can conduct a great business and achieve this mission at the same time, and we're really excited that many of are joining us on this journey. That's all for my remarks and Todd our CFO and I'll be happy to take any questions.
Operator: [Operator Instructions] The first question comes from Doug Anmuth of JPMorgan, please go ahead your line is open.
Doug Anmuth: I was hoping you guys could talk a little bit about the progress and pace of the international ad sales efforts. How should we think about the percentage of international MAUs that can be monetized through this year and next year? Thank you.
Ben Silverman: Thanks Doug, as we’ve talked about in the past this is an important year of investment for us as we think about diversifying our advertiser base, and that comes in two flavors, one is opening up new international markets. We've increased the number of markets that we're in now from 7 to 13 and we're also trying to diversify our advertiser base by investing in self-service tools that will yield results both in the US and internationally. This is a year where we're going to be making a lot of investments to build out that sales force and we would expect results to start to accrue beginning next year and through the course of 2020. At this point we're on track, but it's still very early. I wouldn't expect material financial results to accrue to the company's benefit until 2020. And through the course of the year I'll expect that to accelerate.
Operator: Your next question comes from the line of Ross Sandler of Barclays, please go ahead your line is open.
Ross Sandler: Hey guys, I think since this is your public call, I wanted to ask a question just about the retail category. So you mentioned in the letter that advertisers can upload their product catalog using the API, I guess how widely adopted is that and how does retail marketing budgets change when one of your partners does upload their product catalog and start to advertising based on product, not based on their overall brand. Any color there would be helpful? Thanks.
Ben Silverman: Sure, so just taking a step back the reason that we are prioritizing making it easier for businesses to upload their product catalogs is because the users who use Pinterest often tell us they want to make it easier to go from inspiration all the way to a purchasing event. So for instance if you're redecorating your home and you see a beautiful living room, you might want to know where can I buy a couch at my price point from a retailer that I trust? So to facilitate that we're making it easier for retailers to bring their catalog online. In Q1 we launched a self-serve tool that enables retailers to upload their entire product catalog. Their motivation for doing that is that when that catalog is in our inventory, we can expose their products to more and more of our consumers. Over the medium to long-term, we want to make sure that if an advertiser wants to promote an individual product, they can do that through our shopping as product. And we expect that be an important driver of revenue. In the long-term, we eventually want to make it so everything that you see that's inspirational can eventually be purchased with the little friction as possible. So think of catalog manager as the first step in that direction but considered a multiyear investment and we don't expect shopping to meaningfully contribute to revenue this year, and we expect to be a meaningful driver both user engagement and revenue in 2020 and beyond.
Operator: The next question comes from Eric Sheridan of UBS. Please go ahead. Your line is open.
Eric Sheridan: Guys just as you continue to deepen the conversation with your advertiser clients what are the biggest asks you hear for an advertisers that are informing your product roadmap, the way in which you're going to take innovation on the platform over the next couple of years? What do you think those off the roadmap that you've laid out with the people, what are you the most excited about that could change the arc of either engagement among users or advertising metrics that can lead to greater levels of budgets?
Ben Silverman: Sure. So when we talk to advertisers the first thing that they really like about the platform is that alignment between their objectives which is to find new customers to inspire them and one a lot of our users are there to do this, so that baseline level of alignment is something that really excited about. And we hear asks and they’re kind of informed a lot of we’re building out this year. The first is on different advertisers measure the successes or campaigns in different ways, still really investing to support both first and third party measurement across the broad range of objectives. This year we support more and more third party measurement solutions things like Millward Brown. We also implemented the Pinterest tag to measure in the first party way and whether they are getting great return on their ad spend. The second is that our advertising products have only recently become available outside of the United States and so this is a baseline we went from 7 markets last year to 13 this year and that's just table stakes in a lot of the countries where we have a really meaningful audience you haven't been able to advertise until quite recently. Third, we’re still building out our solutions for small and medium businesses. So our advertising product today, the majority of spend on it is already what you’d call performance driven meaning it has a measurable outcome, but were still trying to make it extremely simple for an advertiser to put up a campaign on their phone kind of a really simple way to see how their campaign is doing and when we talk about self-serve it's that entire experience. I think those three things are informing a lot of our investments and growth in the next couple of years, measurement diversified by going to the international markets and finally building a really simple front interface, small and medium size can reach the people on Pinterest that are looking to plan things in their lives.
Operator: Your next question comes from the line of Mark Mahaney of RBC Capital Markets. Please go ahead. Your line is open.
Mark Mahaney: Two questions please. Could you talk from user engagement perspective to the extent you are seeing category expansion, you've got kind of 4 well established verticals, are you seeing traction with some of the newer ones like finance or travel? And then as you -- secondly on video ad format as you make that more broadly available, have you already seen a reaction to that? Like you did that because you saw very -- it was your guess or you saw a very strong build-up in demand for that? Like what do you think of the -- how quickly could that ramp? Why do you think the impact of that is going to be potentially on spend, potentially on our overall advertiser interest in the platform?
Ben Silverman: I'll kick it off and then maybe Todd chime in on the impact of video on expense profile. So your first question was really about user engagement and how we are doing in expanding those verticals. Since the beginning we continue to see the verticals that people use Pinterest for expand, people tend to use Pinterest for categories that are visual, that are fragmented and there are a lot of different options and taste base and that related to planning. So we have a long tail, up at the head we have things like home décor and fashion in the way into the tail, things like tattoos, vintage watches, a lot of what we’re starting to turn our attention to, how to help people understand that Pinterest can be used not just for the thing they happen to be using it for today but for multiple things. And so we see a real opportunity in the future to improve user engagement by helping people understand that there is relevant content in multiple use cases and cross selling those use cases over time. We think that’s going to be a driver of engagement over time. The second question you had was on video and I will start on the consumer side and then turn it over to Todd to address your question about how it might affect the financial profile. Look we think video is just fundamentally important medium for a lot of the categories that people love on Pinterest. So when you think about getting inspiration for exercising or for cooking a meal or for doing a Wi-Fi check, video is just the best medium because you can see how it works. We’ve seen a really study increase in the amount of organic video that people are consuming, we also know that a lot of advertisers feel like their stories are best told through video. And so earlier this year, we allowed people to create videos against the full set of performance objectives, so before you could have brand objective like news we also added performance objectives and we're starting to see really nice uptick in growth in the video format. Todd do you want to chime in on pricing?
Todd Morgenfeld: Yes, sure. So video is as you’re aware is a premium price product for us and for many others in the industry and we have seen very strong adoption. As Ben mentioned, it’s a super compelling format not only for organic content but also for promoted content. In the first quarter, we had a brand video product and even on the back of a brand offering without the benefit of having a performance product the contribution from video advertising grew 3X year-over-year in Q1 and now that we have performance video, we're seeing a strong uptake across both brand and performance advertising using that format. It's obviously a little bit more expensive to deliver video content both organic and promoted but the pricing delta between the two more than makes up for that. And so it’s been a great addition to the product portfolio and something our advertisers have taken a strong linking too.
Operator: Your next question comes from the line of Heath Terry of Goldman Sachs. Please go ahead. Your line is now open.
Heath Terry : Just wondering particularly with the discussion around e-commerce earlier if you could dig into a little bit for us what your primary technology priorities are, particularly with the recent hiring of Jeremy King to lead that effort for you sort of what you hope his first hundred days, first year look like for the company?
Ben Silverman: For those who don’t know we recently hired a new VP of Engineering Jeremy King. Jeremy most recently was at Walmart, prior to that her worked at a number of small start ups. And prior to that he was eBay when there similar sized we are today. In terms of the areas that Jeremy can be digging into, we can divide it into a few big buckets. First a lot of our most cutting edge technology really goes to the problem of relevance. We have billions and billions of pins, we have users that have a limited amount of time, how do we make sure we're showing the right pin to the right person at the right time and just this quarter from what we started last year, we improved our machine learning systems and really meaningful improved relevance in all the ways that we measure it. So relevance is obviously really important that we look at. There's also a lot of just engineering fundamentals that I would say come with the scaling a basic platforms the size of Pinterest. And so we are taking a look and making sure that we're managing on both the stability of our system, as well as the cost profile as we continue to introduce new things like video. And then finally part of the reason we brought in Jeremy is we do want to scale engineering organization over time and we want someone that can really help develop all the great talent that we have on our team and help us recruit the next generation talent, both in San Francisco where the majority of our folks are, we've a remote office in Seattle and we'll be open minded about extending past those regions in the future. So those are just a few of those things. I don't want to speak too much for Jeremy, he is inside of his first hundred days, but we're really happy to have him on board and we think he is going to make a great contribution to the company.
Operator: Your next question comes from Justin Post of Bank of America Merrill Lynch, please go ahead your line is open.
Justin Post: Maybe one question in two parts. First just when you think about US users what are some of the biggest initiatives to increase engagement with the site and what are you measuring that you think is the most important? Is it time spent, frequency of interaction with content, how are you looking at that? And then second part is just how do you feel about your ad loads currently and how much room do you think you have to grow those over the next few years? Thank you.
Todd Morgenfeld: Thanks Justin, it's Todd, a couple of things. On the US user side, the things that we're investing in to deepen or to broaden the number of people that are using Pinterest kind of fall across three different categories. We're focused on net new users, so for example, we want to make the experience more inclusive to bring people who haven't traditionally been on the platform find it more useful and bring utility into their lives. One example of how we're doing that is the skin tone filter initiative we launched in Q1, which opens up new demographics to the value of being on Pinterest to find inspiration and bring new ideas into their lives. The second category is around deepening engagement. We find people that use Pinterest for a few things in their lives often can be cross sold into new initiatives. So if you're using Pinterest to find recipes to cook, or fashion to wear, we're helping to show people relevant content to support planning a vacation or home remodel for example, providing utility in new areas is another way to deepen the engagement across the platform and broaden the number of users that are there on the service. And finally we're resurrecting people who may have churned. The churn on Pinterest is a little different than it may be on other competing services that if a product doesn't work for you, if it's a gaming application or messaging service and it doesn't work for you and you churn you may never revisit. But on Pinterest churn may be a bit different. You may have had a great experience planning your wedding or remodeling your house but you need to be invited back to be showing the value of being on Pinterest for new use case and we think we have a pathway of doing that, that will bring some of our churned users back to the platform. So those are the kind of the three areas that we're focused on in terms of growing our users. From a measurement perspective we're not focused on in disclosing the things that social media companies typically disclose as you think about engagement, rather we're looking at a basket of things that speak to the journey if someone goes down between inspiration to refining and organizing their ideas and eventually transacting. So for example when you look at 10 impressions, we look at saving behavior, repining, text and visual queries, we look at broadening and sectioning in behavior as people refine and organize their ideas and we look at transactions when people actually take action against those ideas. We are seeing a healthy balance across those engagement metrics and we think is important for us as we seek to deliver more relevance and utility to our users over time. As we do that we think we will build a better business as well because the mindset that users come to Pinterest with is very much a commercial one, and the alignment -- as Ben mentioned earlier, the alignment between what an advertiser wants and what a user is on Pinterest to do is very clean relative to what you see in social and messaging apps. On the second part of your question around advertising load, we’re obviously a little bit more mature in the US from the monetization perspective than in international markets, but we see comfortable room in all of our markets in particular international markets but also in the US to continue to drive advertising content higher. And it’s worth pausing again to say that due to the nature of our service where most of the content that's on Pinterest came from commercial sites and the mindset of our users is commercial in nature. The only limiting factor on advertising load is relevance. Our ability to put relevant content in front of our users whether it's promoted or organic will drive our ability to put denser advertising on the site, drive conversions at higher prices over time and build the business against that.
Operator: Our next question comes from Colin Sebastian of Robert Baird. Please go ahead. Your line is open.
Colin Sebastian : The paragraph of the business highlights, you mentioned improvements in machine learning models. I was hoping if you could perhaps talk more about what involved there and what you saw as the result? And then as a follow-up regarding the progress in the self-serve and measurement tools, just hoping for more color on the timeframe for when you anticipate these to become more broadly available?
Ben Silverman: Sure. I can start with the machine learning question. We have really improved our ability to select which content features matters most for users. So just to take a real example, if the user is looking at shoes, our ranking algorithm may rate the color of a shoe more for one user whereas for someone else will give more rate to the material or the brand of the size. So it was really learning applied to feature selection and the results across the board were really great. Todd mentioned that we are looking at basket of metrics, things like saving behavior, the number of products and tap throughs that we get, the frequency that people get at, revenue as it’s applied to ads and across the board we saw really good cadence. I think that that launch is emblematic of the fact that machine learning really is a core investment area for us because the more of Pinterest in what drives a lot of how useful the service is, is how relevant we can show things to people at the right time. So it's going to be an ongoing area of investment. Your second question, again remind me sorry, what was about self-serve?
Colin Sebastian : Self serve and measurement tools, yes.
Ben Silverman: Sure. I mentioned earlier self serve we’re just beginning that journey. The good news is that the fundamentals of the bones of self-serve meaning an advertising system that's measured on performance objectives, all of that’s been laid. Really what’s important now is to a drop in experience on top of it that makes it really easy for small and medium sized businesses to sign up from their phone, get a campaign started really easily, as well as marketing and actually finding these small and medium sized businesses over time. So we expect that will take a long time, but we think it's fundamental over the long-term for two reasons. One, it diversifies the number of advertisers that are spending on Pinterest; and second a lot of these small and midsized businesses have some of the most inspirational content. And so the more advertisers we have the more advertisements we have, the better our machine learning systems can actually pick-up and drive those returns. As Todd and I mentioned we don’t think the self serve is going to be a meaningful contributor to our revenue this year but we think that over time it can be a really important contribution.
Operator: Your next question comes from the line of Stephen Ju of Credit Suisse. Please go ahead. Your line is now open.
Stephen Ju: So one of the products that really caught our attention was visual search where the users are being able to highlight things and images that they're interested in and that I guess implicitly being a product search query. So where are you in terms of driving consumer behavior to do just that? And on the advertiser side the awareness and I guess the acceptance of this product has been something very similar to the ads that they are already buying on perhaps search engine. Thanks.
Ben Silverman: Yes, Stephen, thanks for the question and visual search is definitely one of the areas of both keen interest and investment for the company because obviously everything on Pinterest is visual. So we are actually seeing great uptick of visual search and we see it in a number of different ways. So one for instance is that we allow you to zoom in on a portion of an image and actually search within that image for items that are similar. And two is we can look at the visual attribute to the pin and use data to an input and to whether to show you or not. We also have a third experimental feature that we call lens that allows users to sort of use their camera to search that’s more of a proof of concept but visual technology powers all of those experiences. On advertisers side we see potential to use visual search to improve targeting because you can take uphold at five things that are visually similar even before you have a user engagement signal but we don’t have any visual specific targeting features that we’re ready to announce right now.
Operator: The next question comes from Mark May of Citi. Please go ahead. Your line is now open.
Mark May: First I think as you mentioned earlier, you’re monetizing in seven international markets for all part of last year and then you launched six additional ones this quarter. I am just curious of the international ad revenue in Q1 and the year-on-year growth which was substantial. How many countries are contributing meaningfully to that? I am just trying to understand better how many countries today are contributing to your international ad revenue and to the growth? And my follow-up would be, you clearly have a pretty aggressive pipeline for introducing new enhancements to the ad platform from conversion optimization, video formats, self serve et cetera, et cetera. If you have to choose one, like what of these do you think has the potential to have kind of greatest impact over the near to medium term?
Todd Morgenfeld: In terms of which countries are driving our international growth, I would think about it this way, we’ve built the business from an audience perspective starting in the US and then moved to English-speaking countries outside of the US, Western Europe, and sort of coming go down the list of monetizable audiences globally. We prioritized those almost categorically. And so to that end our most mature markets from a user perspective are in the US, English speaking countries and Western Europe. We have been monetizing in order as well. So our most mature market obviously is the US, we drive 95% plus of our revenue historically. We then started to monetize in the UK, Canada and other English-speaking countries, which is where the bulk of our international revenue historically has come from and now we are monetizing across Western Europe which is where a lot of newly added countries are located, but are still very nascent. A lot of our hiring is happening in very new countries that while we've launched the advertising product we're still developing relationships, staffing the teams and that's why you hear from us that we're not expecting a big contribution from international markets from a mix perspective until next year and beyond. From a product perspective, I think you asked a -- there's a couple different ways of answering your question actually, you asked about which product format or conversion optimization as an example of a new performance product. And then you mentioned things like the self serve product experience as well, and I think about those not as being discrete and different things, but actually part of the same story. We're investing in advertiser diversification because we believe that the ability to put relevant ads in front of our users depends on our ability to get a lot of ads into the option and the way we'll do that is by broadening our advertiser base. We'll do that by having a robust self-serve tool Ben talked about what we're doing on that front through the course of this year, but that will continue to accelerate the number of advertisers that are on the service and that's incredibly important to us. We're confident that that will work because we already have demonstrated that we’ve built a performance business, two-thirds plus of our revenue today comes from performance products and that is something that many others who have built a self-serve business have not had the benefit of. So when we think about things like conversion optimization, we're just optimizing a portfolio of products that have already demonstrated that they have traction in the market for performance objectives.
Mark May: Is it possible to share with us how many advertisers you had in the quarter and we obviously know Facebook has millions just to get a sense for how much of an opportunity that is?
Todd Morgenfeld: We're not disclosing how many advertisers we have but I would tell you we've seen an acceleration in the number of advertisers. Our growth in the advertiser base, the number of advertisers, our growth rate has accelerated through Q1 and I would expect that as we rollout self-serve in the future that will continue to be an important thing for us to develop upon. We obviously grew the business in the CPG and retail space historically and we’ve diversified our advertisers into new verticals like travel, auto, financial services. We've been going into the mid market, and digitally native brands. We're further than diversifying into international markets and through self-serve we'll reach a totally different class of advertiser.
Operator: Your next question comes from the line of Mark Kelley of Nomura, please go ahead, your line is open.
Mark Kelley: I kind of want to follow up on the international side, I know you talked about being able to have a better conversation with your advertiser partners as you launch into new geographies and it's a bit circular, you'll get more budget even in US. I'm curious if you have any thoughts on to-date when you launch into a new geography, how quickly does that conversation change? Do you need to be launched in a region for a bit of time before people start to think about spending with you, or is just physically being there the most important part? And I've got a follow up after that, thanks.
Ben Silverman: Hey Mark I can start and then Todd can add some more color. So your question was kind of how long does it take for a market to spin off, how important is physical presence. First of all I mean the presence in some of these markets really does matter and it's a clear proof point for us was we'd had in Canada for a while but we actually put a team on the ground, we saw real acceleration just because there were people to explain the platform, explain that there is this kind of really different behavior on Pinterest that's planning inspirational behavior that is quite different from they're seeing in social networks, just to get them acclimated to the platform. And when we go into new markets often our first advertisers, they're often advertisers that worked with us before in one market and to reach customers in the new market. There are people that are familiar with the story and then what we will often do is will help them find success in those markets, will document that in the form of a case study and we will use that to sort of get the word into market. We're pretty done early in the some of these markets. We opened up six of them just in last quarter. So I can't tell you the exact average time frame for that playbook but it's something that we’re always looking to refine. What I can say is that we're getting faster and faster about going into markets but until now the next level of innovation will really be applied to how do we streamline that go-to-market process and makes sure that advertisers find success as quickly as possible and then therefore success can give new advertisers the confidence to get the platform and try for the first time as well.
Mark Kelley: And curious is there any way for us to think about ad spend from existing customers you had a year ago versus new ones?
Todd Morgenfeld: So we looked at this over the last year. So for 2018 about half of our growth came from existing advertisers and the other half of our growth came from new advertisers. It's one way to think about it. So we kind of look at it over a longer period and just the quarter. But that’s one way of thinking about it. So from my perspective that means ads are working for our incumbent advertisers and new advertisers are finding value as well and we've seen a balance across both.
Operator: Your next question comes from Elliot Alper of D.A. Davidson. Please go ahead. Your line is open. You next question comes from Lloyd Walmsley of Deutsche Bank. Please go ahead. Your line is open.
Lloyd Walmsley : I was just wondering a couple of if I can on the ad tech, kind of where are you today in building out the key tools you need and are there any big new ones we should just keep in mind on the horizon? And I guess more broadly do you feel like you have the ad units generally figured out such that you can scale particularly internationally or are there kind of other types of monetization you're working on that could unlock better monetization down the road? And then I guess a second one would just be, as we think about the potential for kind of use case category expansion, are there any success stories you’d point to where something you did on the product side drove and unlocked on the new category or/and then as we look at kind of user cohorts, do you see kind of newer users using the product differently either across categories or functionality wise, anything you could share there would be great?
Ben Silverman: Yes, I'll try to take the questions in turn. I mean your first question is kind of are there any big holes in the ad tech staff or in the units. And there are a couple of areas that we need to be have the offering. What I mentioned before is that the measurement is a pretty fragmented space and so we want to support a broader diversity of first and third party solutions. We do have features depending on advertisers that I know they are really keen to use, things like reservation buying if you are a brand advertiser. An important thing to think about with advertising is that on one hand you can look at sort of the breadth of the offering, how many individual features there are, but there is also depth. And so the reason that kind of large advertising players while can have a fairly large engineering team because there is a really broad diversity and so we have meaningful improvements that we can make to deepen that offering as we got to serve more and more advertisers. The way that we’re approaching that is we try to look at the bundles of offerings that will open up the largest new buckets of advertisers that we can serve responsibly and we have tied that to measurement but also we applied things like our decision to go with simple front end for small and medium size businesses and our decision to make that measure translate into multiple languages and support currencies, so we can support things that’s kind of opportunity-sizing exercise and we're looking at it. Your second question then was really about use case expansion and what evidence do we have that uses cases are indeed expanding. Actually inside the product we have tons of evidence that people use Pinterest for a really, really broad array of things. And if you ever have a chance you just go into Pinterest and search for things, you will find incredible diversity if you're into I don’t know vintage watches or model ships or tattoos you will find something that are using Pinterest for those. I think the next opportunity for us is if you use Pinterest for one thing how we get it to use it for multiple things. And that’s something new for us that we haven't really started upon but it’s something that we're keenly interested in. One interesting challenge that we have is whenever we are showing you recommendation you can think of us as having a choice, do we show you something that we know that you want to see or to we take a bet and try to show you something new? To-date we've really shown you more of we think you're really going to love. So if you love weekend cooking, we will show you more of weekend cooking. To diversify used cases we have to develop the technology and the product design to help extend pass those horizons that you don’t feel sort of pitching holes in just very narrow vertical because you might not even be aware that you are probably using Pinterest for those things. Your final question was really about cohort behavior, whether we see people using Pinterest in fundamentally different ways as we see newer and newer cohorts sign up. The answer is no. The common themes that we see are that people really use Pinterest for things that are often lifestyle based so for key projects or moments. We see a lot of people using Pinterest for important seasonal times things like Thanksgiving or New Years and those obviously vary depending on what country you are in. But that basic user behavior, people going to Pinterest, getting inspiration to do something in their life, having fun, planning their future and they are going out and trying to do that, that’s remained really consistent over time and it continues to remain consistent even as we bring on users from different geographies.
Operator: This completes the allotted time for questions. Thank you for your participation in today's call. You may now disconnect.